Operator: Good afternoon, and welcome to A-Mark Precious Metals Conference Call for the fiscal first quarter ended September 30, 2025. My name is Kelly, and I will be your operator for this afternoon. Before this call, A-Mark issued its results for the fiscal first quarter 2026 in a press release, which is available in the Investor Relations section of the company's website at www.amark.com. You can find the link to the Investor Relations section at the top of the homepage. Joining us for today's call are A-Mark's CEO, Greg Roberts; and CFO, Cary Dickson. Following their remarks, we will open the call to your questions. Then before we conclude the call, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of A-Mark's website. Now I would like to turn the call over to A-Mark's CEO, Mr. Greg Roberts. Sir, please proceed.
Gregory Roberts: Thank you, Kelly, and good afternoon, everyone. Thanks for joining the call today. Today is an exciting day for A-Mark. As you may have seen in our press releases, we announced today the acquisition of Monex Deposit Company and our upcoming rebrand and relisting to gold.com. I'll touch on both before getting into the quarter. Monex is one of the nation's largest direct-to-consumer or DTC precious metals dealers. Since its founding in 1987, Monex has facilitated billions of dollars in transactions and built a full-service platform offering bullion and coin products. The business also includes a sizable secure storage offering, which now exceeds $630 million in assets under custody. I've known and worked with the Carabini family throughout my career, and we're excited to welcome Michael and his team under the A-Mark gold.com umbrella. This acquisition strengthens our DTC presence by leveraging Monex' well-established brand, reputation and loyal customer base. We also expect operational synergies that will enhance and streamline both organizations. Turning to our decision to rebrand and transfer our listing. We began laying the groundwork several years ago when JM Bullion acquired the gold.com domain. Once the GOLD ticker became available on the New York Stock Exchange, the timing was right to make the change. Gold.com embodies who we are as we strengthen our category leadership and help shape the future of precious metals, numismatics and other collectibles. This name change marks the first step in positioning us for continued long-term success, enhancing operational excellence and delivering value to customers, partners and shareholders. Investor interest in gold and silver has grown in recent years. And as we expand into adjacent categories such as wine, sports cards and other collectibles, now is the right time to modernize our corporate identity and how these assets are bought, sold and managed. While gold.com will serve as the corporate brand, our Wholesale Sales & Ancillary Services segment will continue to operate under the A-Mark name and brand. Our direct-to-consumer segments will continue to go to market through the portfolio of trusted brands and channels, including JM Bullion and Stack's Bowers, Collateral Finance, Goldline and will also retain their names. We're excited about this next chapter and look forward to the official exchange transfer on December 2. Now on to our quarter. Our results demonstrate the resiliency of our fully integrated platform and the early benefits of our recent acquisitions. While July and particularly August were marked by subdued demand and historically tight premium spreads, conditions improved meaningfully after Labor Day. For the quarter, we delivered $72.9 million in gross profit. This performance reflects the late quarter shift in consumer demand, combined with strong auction results from our recently acquired Stacks Bowers galleries. In September and October, we experienced a welcome increase in demand and expanded premium spreads. We have benefited from our strong balance sheet and our ability to manage our inventory levels to satisfy this increased demand. The ability to quickly ramp up production at both of our mints has proved to be timely as we have been moving through the second quarter. Although spot prices have come off all-time highs in the last two weeks, we are well positioned to take advantage of a continuation of elevated demand environment. Operationally, our investment in AMGL over the past several quarters has paid off as we integrate our recent acquisitions. This quarter, we successfully consolidated Pinehurst's operations, inventory and shipping with AMGL and have automated those initiatives. We're also continuing to rightsize AMS, and we expect additional savings as we centralize operations and capture further economies of scale. Internationally, our move to Asia with LPM has delivered sizable contributions this quarter. We believe the traction in the business is a strong indicator of what's ahead. Our fully integrated platform positions us to succeed across market environments. With that, I will turn the call over to our CFO, Cary Dickson, for a detailed financial review and to walk through our key operating metrics. Afterwards, I will return with additional comments on our business growth strategy for the coming fiscal year as well as take your questions. Cary?
Cary Dickson: Thank you, Greg, and good afternoon to everybody. Our revenues for Q1 fiscal '26 increased 36% to $3.68 billion from $2.72 billion in Q1 of last year. Excluding an increase of $561 million of forward sales, our revenues increased $404 million or 27.6%, which was due to an increase in gold ounces sold and higher average selling prices of gold and silver, partially offset by a decrease in silver ounces sold. Revenues also increased due to the acquisitions of SGI, Pinehurst and AMS in the last two quarters of fiscal '25. Gross profit for Q1 fiscal '26 increased 68% to $72.9 million or 1.98% of revenue from $43.4 million or 1.6% of revenue in Q1 of last year. The increase was primarily due to higher gross profits earned by both the wholesale sale and ancillary services and direct-to-consumer segments, including the acquisitions of SGI, Pinehurst and AMS, which were not included in the same year ago quarter, partially offset by lower trading profits. SG&A expenses for Q1 fiscal '26 increased 125% to $59.8 million from $26.6 million in Q1 of last year. The overall increase is primarily due to increases in compensation expense of $19.5 million, advertising costs of $5.2 million, consulting and professional fees of $4.1 million, facilities expenses of $1.3 million and bank and service credit fees of $1.2 million. SG&A expenses for the three months ended September 30, '25, included expenses incurred by SGI, Pinehurst and AMS, which were not included in the same year ago period as they were not consolidated subsidiaries, and we have not acquired them yet. Depreciation and amortization for Q1 of '26 increased 61% to $7.6 million from $4.7 million in Q1. The increase was primarily due to an increase in amortization expense resulting from the increase in step-up of our intangible assets through the acquisitions that we've been talking about. Interest income for Q1 fiscal '26 decreased 21% to $5.6 million from $7.1 million in Q1 of last year. The decrease is primarily due to a decrease in other finance product income of $1 million and a decrease in interest income earned by our Secured Lending segment of $0.5 million. Interest expense for Q1 fiscal '26 increased 26% to $12.6 million from $10 million in Q1 of last year. The increase in interest expense is primarily due to an increase of $1.3 million related to precious metal leases, an increase of $0.6 million associated with our trading credit facility, an increase of $0.5 million related to product financing arrangements. Earnings from equity method investments of Q1 fiscal '26 decreased 257% to a loss of $0.9 million from earnings of $0.6 million profit in Q1 of last year. The decrease is due to decreased earnings from our equity method investees. Net loss attributable to the company for the first quarter of fiscal '26 totaled $0.9 million or $0.04 per diluted share. This compares to net income attributable to the company of $9 million or $0.37 per diluted share in Q1 of last year. Adjusted net income before provision for income taxes, a non-GAAP financial performance measure, which excludes depreciation, amortization, acquisition costs and contingent consideration fair value adjustments for Q1 '26 totaled $4.9 million, a decrease of 67% compared to $14.8 million in the same year ago quarter. EBITDA, a non-GAAP liquidity measure for Q1 fiscal '26 totaled $14.3 million, a 20% decrease compared to $17.8 million in the same quarter last year. Turning to our balance sheet. As of September 30, we had $89.2 million in cash compared to $77.7 million at the end of fiscal '25. Our nonrestricted inventories totaled $846.1 million as of September 30 compared to $794 million at the end of fiscal '25. That completes my financial summary. Now looking at our key operating metrics for the first fiscal quarter of '26. We sold 439,000 ounces of gold in Q1 fiscal '26, which was up 10% from Q1 of last year and up 27% from the prior quarter. We sold 10.4 million ounces of silver in Q1 fiscal '26, which was down 49% from Q1 of last year and down 34% from the prior quarter. The number of new customers in our DTC segment, which is defined as those who registered, set up a new account or made a purchase for the first time during the period was 69,400 in Q1 fiscal '26, which was up 25% from Q1 of last year and decreased 36% from last quarter. The number of total customers in our direct-to-consumer segment at the end of the first quarter was approximately $4.3 million, a 37% increase from the prior year. This year-over-year increase in total customers is predominantly due to the acquisitions of SGI, Pinehurst and AMS as well as organic growth of our JMB customer base. Finally, the number of secured loans at the end of September totaled 424, a decrease of 5% from June 30, '25, and a decrease of 25% from September 30, '24. Our secured loans receivable balance at the end of September was $103.6 million, a 10% increase from June 30, '25, and a 2% increase from September 30, '24. That concludes my prepared remarks. I'll now turn it back over to Greg for closing remarks.
Gregory Roberts: Thank you, Cary. We've seen the momentum that began late in the first quarter carry into our second quarter, and we're cautiously optimistic about the year ahead. With the addition of Monex and our recent acquisitions, we're now better positioned to perform across all market environments and to capitalize on periods of heightened volatility. As we prepare for our transition to gold.com next month, this milestone underscores our vision to build the most trusted and globally recognized precious metals platform. Backed by the strength of our core business, the power of our integrated model and the momentum from our recent acquisitions, we have a solid foundation for sustained growth and profitable -- sustained and profitable growth. We remain confident in our long-term trajectory and our ability to create lasting value for our shareholders. That concludes my remarks. Operator, we can now open the line for questions.
Operator: [Operator Instructions] Your first question is coming from Thomas Forte with Maxim Group.
Thomas Forte: Yes. So Greg, congrats on all the advancements and the rebrand to gold.com. One question, one follow-up, and then I might get back in the queue. I wanted to ask you, Greg, for your current thoughts on strategic M&A. You've had a lot of transactions over the last 12 to 18 months. What's your current appetite for additional deals? And how should we think about areas of focus, domestic versus international, DTC and I guess, precious metals versus other collectibles. The recent examples have been wine and numismatics.
Gregory Roberts: Yes. As always, I think this question, I answer it the same way. We're always looking at opportunities, always looking at pieces that we think fit in the overall goals and where we want to be going forward. We've digested, and we've digested the acquisitions we did earlier in the year. The team has done a great job getting those in a position where we can now start to see the benefits from the acquisitions. On the rare coin side, which generally has some correlation to precious metals prices from a buyer behavior perspective, we accomplished one of the largest auctions that Stack's Bowers has had in history in August and September. So we've seen great strength there. As we look for other opportunities, we're always open and always looking at ways to expand. I think we've done a lot in Asia over the last 24 months, and we're definitely seeing the benefits of those acquisitions pay off today. We have a great partner in Atkinsons in the U.K. Their business has been very strong over the last 24 months, and we would love to help Atkinsons grow in the U.K. As it relates to other geographical areas, there's nothing at the moment that is a must-have, I believe, for us, although we're -- if we see something we like, we'll talk about it. The Monex transaction is something that I've worked on for many quarters now, a company that has been a customer, the counterparty of A-Mark for over 25 years. They have a great model, a great customer base, and most importantly, management, the Carabini family are -- and others there are just great assets that we're bringing into the A-Mark fold. So we want to get that deal closed. We want to continue to look for synergies. As we've grown, as you can see from the numbers, our SG&A has grown, a lot of it having to do with new employees through the acquisitions. Our finance costs are up. A lot of that having to do with headwinds related to the precious metals financing overall macro business as well as we're financing the same amount of ounces at much higher spot prices right now. So I think our appetite is still there, and we'll continue to look for deals that we believe are accretive to the business.
Thomas Forte: And then for my follow-up, and then I might get back in the queue. I really appreciate your thoughts on stablecoins and gold demand. So I think there's been a long-time debate or had been a long-time debate on kind of gold versus Bitcoin, and I see this as an example of gold and crypto. So I would appreciate your thoughts on stablecoins and gold demand.
Gregory Roberts: I mean the gold demand has been incredible over the last 9 to 12 months, and it's reflected in the performance of the spot prices. And you have throughout the beginning of the year and most of last year, you had strong central bank buying. And I've talked about this before. China has been buying large quantities of gold for at least the last three or four years. And that demand has trickled down to other governments. I think you could look towards India, you could look towards Russia, you could look towards other countries that are kind of on the anti-dollar trade right now. And whether it be redeploying assets from maturing treasuries or just reallocation, you've seen central banks really leading. And to move the spot price of gold as much as it has moved, it's a very large amount of dollars that move that price. I think that throughout July and August, the spot prices continued to rise. And in the U.S., the domestic consumer, as I have talked about before, the domestic consumer was not really motivated by the higher spot prices. In fact, as we talked about last quarter, A-Mark was a terminal point of liquidity for a lot of people selling and taking profits at the spot prices. As I mentioned before and in the press release, we have seen a welcome change in September and October, where it does appear that there has been a lot of publicity. I think Goldman came out with something. Others have said the same that U.S. citizens should have a higher percentage of their investable assets in gold and silver, and we have definitely seen an uptick in September and October, and we have got back to a situation where there's been some tight supply on certain products and our premiums have finally started to grow a little bit. I think at JM Bullion in September and October premiums have probably gone up about 20% since August. And so that has been a shift in kind of what's going on in the gold market. And then finally, I think starting in October, we did see an increased demand for silver as silver got over $50. So I think our customers have taken a little breather the last week as spot prices have come off a little bit. But I think the major shift in what we saw in September and October were as gold and silver made new highs, we saw a shift in demand from our customers. So that was welcome and we hope it continues.
Operator: Your next question is coming from Mike Baker with D.A. Davidson.
Michael Baker: So you just sort of touched on it, but I was going to ask you, what's changed because in the past and even last year, when we saw really high prices, you didn't see the demand. In fact, as you said, you were providing liquidity. I guess you just sort of -- I was going to ask what has changed this time, but you sort of answered that. So I guess I'll pivot my question. How sustainable is this change? You said your customers have taken a bit of a breather in the last week, and we're not going to look at things on a week-to-week basis. I get that. But how sustainable is the better trends that you've seen in September and October? Is it that everyone sort of emptied out their closet of the gold they have. And so now there's no more selling to you and it's much more buying. Is that sustainable? And if you could, just take the last two months and what's sort of the run rate of the profitability of this business now relative to where you just finished?
Gregory Roberts: Yes. I think as it relates to whether or not it's sustainable or not, I mean we've had extreme, extreme volatility and behavior of our customers -- it changes fairly regularly. Like I said, July and August were particularly August were about as slow as I have seen our business, which is, for the most part, reflective in our performance. I think that we had a great rebound in September and made up for a very slow period as well as extreme volatility and some extreme increases in financing costs in July and August. We continue to have a very volatile and erratic market as it relates to gold leases and repo, which are gold and silver leases and repo rates, which are a big component of how we finance our business. Those rates have been very volatile. The market has flipped a bit into backwardation, which is never great for us because we're short the market and we have a very big short book. So, in July and August, we did face some headwinds. As it relates to why the customer base in our DTC segment decided after Labor Day to change their behavior or their attitude, I don't have a single reason for that. I mean I do a lot of research. We do a lot of looking at behavior, look at macroeconomic issues. Certainly, I think the continued back and forth trade war with China was a big issue. I think the government shutdown has likely in its first few weeks, probably woke up a number of our customers to what's going to happen. Now the shutdown has become like just ho hum every day, we're shut down and who knows what's going to happen. And China has temporarily seems to have calmed down a little bit. So I think there are some macro things that have affected us. I think throughout October, there was a lot of focus in mainstream media on precious metals, rare earth metals, gold and silver. And I think the awareness was just higher than we have seen it since probably the Silicon Valley Bank crisis. We didn't -- unlike Silicon Valley Bank, we didn't get the feeling that our customers were fleeing to safety or looking for a place to put cash. It felt for the first time that there was a bit of FOMO related to the record spot prices. And so if that's the case, spot prices are down 8% from where they were a few weeks ago. We'll have to see whether that slows the behavior or whether or not our customers decide to buy the dip. As it relates to run rate, as it relates to how we're looking this quarter, I've gone about as far as I'm going to go saying with October being very strong on the heels of September. And we'll continue to update you on how we see the markets performing and how we're able to take advantage of it.
Michael Baker: Fair enough. Thanks for the detail. If I could ask one more. Just about the expenses, we get that expenses are higher because of all the acquisitions that you've made. But at some point, the acquisitions make sense in that they drive higher sales, higher gross profit and you leverage the expenses just that EBITDA is -- goes up. Presumably, that's the outcome at some point. So any idea of when you start to sort of synergize some of these expenses or when that starts to show up a little bit more in the P&L such that EBITDA is increasing in line with the gross profit dollar increase?
Gregory Roberts: Yes. I mean I think $73 million of gross profit in the quarter and almost $14 million in EBITDA, I was very satisfied with that for what we were experiencing as it relates to just the amount of ounces we were selling and the other factors I've already talked about. The company is digesting the acquisitions. My strategy is generally we try to buy great businesses with great management and we let them manage their businesses. At the same time, from a corporate standpoint, we are looking for redundancies, and we're looking for places to be more efficient. We don't want to keep spending more money on an apples-to-apples comparison. We want our expenses to go down, and we want our profits to go up. So that's something we're focused on. We are very, very focused last quarter and this quarter on ways that we can integrate ways we can reduce redundancy, ways we can relocate some of the employees and relocate some of the operations that have been run in remote locations to our Vegas facility. As we announced with this rebranding, we are going to be closing our offices in El Segundo, and we're going to be moving -- employees are going to be moving either to the new corporate offices in Orange County that are where Stack's has been located or they -- some employees are moving to Santa Monica where Goldline is located. So we are we do have a process that we're going through. And I think that the goal for us is are we reducing costs on an apples-to-apples basis? Are our costs efficient and moving in the right direction absent the acquisitions? And then total, as we get into quarters-over-quarters, are we able to be more efficient and deal with lower expenses across all the businesses. But at the moment, I thought based on how July and August started, I thought we got a lot out of the quarter. I think that the flipping of the switch for whatever reasons, some of it we've talked about, the customer base in our DTC business has really just they woke up and the business that profits we've been able to generate in that segment have been great in September, October. And we have also worked through a lot of inventory that we've been able to monetize and reposition at the A-Mark trading corporate level. And we're hoping that we see at the wholesale level, a drying up of excess supply and that A-Mark is going to reestablish itself as the go-to when you want to buy something and you need product at a wholesale level, not just when you're looking for liquidity to sell stuff to A-Mark. So these things for the last 60 days have been going in the right direction. So we'll try to continue that.
Operator: [Operator Instructions] Your next question is coming from Andrew Scutt with ROTH Capital.
Andrew Scutt: Congratulations on the announcements. First one for me, you guys kind of historically have done acquisitions, I guess, I would call them in piecemeal. And you did talk about the long-standing relationship with Monex, but was there any other factors that went in the decision to do this in one full swoop?
Gregory Roberts: Yes. Like I said, this is a transaction I've been working on with Michael for a couple of years now, and it took -- the stars have aligned, and we felt this was a deal we wanted to go in 100%. And Michael was enthusiastic about taking some A-Mark's stock and being part of the A-Mark family as well as we were able to structure an earn-out that gave both sides some opportunities as it relates to whether or not the Monex businesses can grow and whether they can continue to perform or if it takes a little bit longer. So I think the structure of the deal and the willingness of both sides to make the move, it just fit for this transaction. It wasn't a transaction, I think, where either side really wanted to start with a 10% or 20% or 40% stake in the company. I think -- I know the business very well. I've been looking and diligencing the business for a long time. The business is very important to moving forward in what we're trying to accomplish. There is some -- it's a different model most of the customers store their metal and hold their metal in storage and are much more frequent traders of gold and silver as opposed to a cash and carry and take possession of the metal. So it's a little different model, but I believe it's got enough uncorrelation to it that in viewing it, particularly the last nine months, it felt that to me that this was a great move for us because I think we have a customer base that's a little bit different motivated, particularly through the slower periods that we've experienced the last six to nine months in our retail business. The Monex business has actually outperformed what I would expect. And I think the customer base is a little bit more of a -- it's a bit more of a high-frequency trading business where customers are actually able to move in and out and go between cash and go to metal that's in storage. I've talked about it before. Storage is a huge component of what we're focused on growing right now. And Monex provided us with $600 million to $700 million of storage right now. That's likely adding 50% to 75% of what we have under management in storage right now. And that's just storage fees and storage are paid day in, day out, and it's a good steady stream of income for us. And I think that the that their customer base was a bit more -- seems to have been a bit more motivated by the higher spot prices. And so it felt at this moment that there's not another model like this out there that we're familiar with. And just very happy with the 50 years they've been in business or 40 years they've been in business, and they have a very, very loyal customer base and a great management team.
Andrew Scutt: Great. Well, I appreciate the color. And second one for me, a little bit more high level. So now that you've kind of made all these acquisitions, you have all these DTC brands under your umbrella, does it make sense to kind of combine a few of them and have a one-stop shop and say, here we are at gold.com? Or is there greater value in having multiple storefronts under multiple different brands?
Gregory Roberts: Great question. I think about this all the time. And when we're doing acquisitions, one of the key diligence items we look at is what is the crossover from one brand to another as it relates to the customer base. If there is a high level of crossover, the brands may not be as important. If there's very, very low crossover, I view that as value in the brand and value in what the customer knows and what the customer is comfortable with. I think the Monex brand has been around forever. The Monex brand is well known throughout all of the retail precious metals business. So I love the brand. I have been familiar with the brand forever. So I don't see anything changing with that. I do think that our rebranding and our move to gold.com as an umbrella over our brands is important, and it's an important milestone. I do believe there -- having a an umbrella brand that can look for ways where the individual brands can be more familiar with each other or how there might be offerings that we can come up with that will be appealing to all the brands. I think this is an important step in that. I think the new logo we've developed will be launching December 1. We're launching gold.com precious metal products that are branding of the gold.com brand and the products that we have developed to this point are going to be incredible and they're going to bring that the gold.com website that will also be going online in early December. It is going to connect all the brands in one place. And they'll be -- if you want to buy gold, you're going to get to see all the different options that gold.com will offer you, and you'll be able to choose who you want to do business with within our ecosystem. So I'm very excited and very enthusiastic about this move. And I think in some way, what you're asking the question, part of our strategic plan is to use this great domain name that we bought, this great new website we've developed, this new great corporate location and this have the ability to promote one brand that encompasses everything and then introduce people to our distinct and different DTC platforms, I think, is going to be a great opportunity for the company.
Operator: You have a follow-up question coming from Thomas Forte with Maxim Group.
Thomas Forte: Greg, last one, I promise. So you've done a great job.
Gregory Roberts: That's okay. Many as you want, Tom.
Thomas Forte: Don't say that. The call go on more half an hour. So you've done a great job upgrading the technology and adding physical space to your logistics effort in Vegas. How should investors think about your logistics capacity given all the recent M&A activity?
Gregory Roberts: We built this thing, and it is incredible. The automation that Thor and Brian have accomplished up in Vegas is -- it's better than anything I've ever seen. And we have onboarded a number of new clients there, some corporate clients that are new to us. But the ability for the facility to operate and the capacity that we can now get out of it is, I think we have absolutely the best in the business. I think we shipped in October, I want to say, 60,000 packages plus, which was a very strong month for us. I think we could have shipped 100,000 packages in October, if need be. So we have great capacity. We have onboarded, I know of at least three new customers that are outside of the A-Mark umbrella that are using our services as well as, as I said earlier, we've taken the Pinehurst logistics and inventory from Pinehurst, North Carolina, and we've moved that to Las Vegas. And now all the Pinehurst packages on eBay to their retail customers, to their wholesale customers, all those packages are being shipped out of Vegas. We need to continue to do that with our other brands and utilize the facility. But we are very well positioned if the market continues to perform or even gets better, we will still be able to get our customers' packages out within one or two days. And at the level of 100,000, 110,000 packages a month, to be able to do that. I think the moat around now gold.com, the moat is just very difficult for our competitors to address. I think that we can really promote and really separates us from others, our ability to store and to ship logistics.
Operator: At this time, this does conclude our question-and-answer session. I'd now like to turn the call back over to Mr. Roberts for his closing remarks.
Gregory Roberts: Okay. Thank you very much. Once again, thank you to all of our shareholders. There have been a lot of change, a lot going on here. We've continued to try to make what we think are great long-term moves as well as short-term adjustments that we need to make. Your continued interest and support is most appreciated. And I'd also like to thank all of our employees for their dedication and commitment to A-Mark's success. We look forward to keeping you apprised of A-Mark and gold.com's further developments, and we look forward to talking to you again in a few months, if not sooner. So thank you very much.
Operator: Thank you. Before we conclude today's call, I would like to provide A-Mark's safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During today's call, there were forward-looking statements made regarding future events. Statements that relate to A-Mark's future plans, objectives, expectations, performance, events and the like are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities Exchange Act of 1934. These include statements regarding expectations with respect to growth, long-term success, operational enhancement, delivery of value, access to and credibility in the public markets, continuing execution on other steps in our strategic planning and anticipated cost savings. Future events, risks and uncertainties individually or in aggregate could cause actual results or circumstances to differ materially from those expressed or implied in these statements. Factors that could cause actual results to differ include the following: a neutral or negative reaction of our customers, partners and public markets to the change of our name, our brand, other corporate identifiers and to our listing venue, our inability to seamlessly execute our rebranding strategy, potential confusion in the markets that we serve concerning our rebranding, difficulties with formulating and effectively executing on additional steps in our strategic plan and our inability to successfully expand into other categories of collectibles or to enhance how these new asset categories are managed or transacted. There are other factors affecting our business generally, which could cause our actual results to differ from those that we anticipate as a result of our rebranding program, including government regulations that might impede growth, particularly in Asia, including with respect to tariff policy, the inability to successfully integrate recently acquired businesses; changes in the current international political climate, which historically has favorably contributed to demand and volatility in the precious metal markets, but has also posed certain risks and uncertainties for the company, particularly in recent periods, increased competition for the company's higher-margin services, which could depress pricing; the failure of the company's business model to respond to changes in the market environment as anticipated; changes in consumer demand and preferences for precious metal products generally; potential negative effects that inflationary pressure may have on our business; the failure of our investee companies to maintain or address the preferences of their customer bases; general risks of doing business in the commodity markets; and the strategic business, economic, financial, political and governmental risks and other risk factors described in the company's public filings with the Securities and Exchange Commission. The company undertakes no obligation to publicly update or revise any forward-looking statements. Readers are cautioned not to place undue reliance on these forward-looking statements. Finally, I would like to remind everyone that a recording of today's call will be available for replay via a link in the Investors section of the company's website. Thank you for joining us today for A-Mark's earnings call. You may now disconnect.